Operator: Greetings. Welcome to Elme Communities First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to your host, Amy Hopkins, Vice President of Investor Relations. You may begin. 
Amy Hopkins: Good morning, and thank you for joining our first quarter earnings call. Today's event is being webcast with a slide presentation that is available on the Investors section of our website and will also be available on our webcast replay.
 Before we begin our prepared remarks, I would like to remind everyone that this conference call contains forward-looking statements that involve known and unknown risks and uncertainties which may cause actual results to differ materially, and we undertake no duty to update them as actual events unfold. We refer to certain of these risks in our SEC filings. Reconciliations of the GAAP and non-GAAP financial measures discussed on this call are available in our most recent earnings press release and financial supplement, which was distributed yesterday and can be found on the Investors page of our website.
 And with that, I'll turn the call over to our President and CEO, Paul McDermott. 
Paul T. McDermott: Thanks, Amy, and good morning, everyone. I'm joined today by Tiffany Butcher, our Chief Operating Officer; Steve Freishtat, our Chief Financial Officer; and Grant Montgomery, our Head of Research. Tiffany will speak to our operating trends and initiatives, and Steve will cover our balance sheet and guidance points. Grant is here to answer market-level questions during Q&A.
 I'll start with a high level overview of the trends we are seeing across our portfolio. Our Washington Metro portfolio is positioned very well heading into our busiest leasing months. On the demand side, we see solid trends, and our communities are delivering the stable performance that we would expect from our mid-market strategy. We have seen the expected uptick in activity into the spring leasing season, and market rents for the Washington Metro area continued to trend above the U.S. on average. This is shaping up to be a very good year for the Washington Metro, which comprised roughly 85% of our multifamily NOI in the first quarter. And our significant presence in Northern Virginia, the growth engine for the region, further enhances our positive outlook.
 In Atlanta, while absorption is improving, our fundamentals reflect the impact of elevated supply. We knew that we were going to experience occupancy pressure in the first quarter, and we are pleased to see positive momentum in April. As we enter the spring and summer leasing seasons, we believe that we have the tools in place to drive demand and improve our profitability, which Tiffany will discuss in more detail during her prepared remarks.
 We continue to monitor the supply and demand dynamics within our markets and submarkets, and our research points to positive trends in both the Washington Metro and Atlanta. In the Washington Metro, where supply has been more moderate and demand has been solid, our submarkets overall are at a supply-demand equilibrium with our net inventory ratio at 2%, in line with the long-term average. Subsequently, the region, our submarkets and our portfolio are experiencing solid rent growth. And the Washington Metro market is currently one of the best positioned markets in terms of supply-demand balance nationally, according to RealPage.
 While Atlanta has had an unprecedented level of supply, market demand is improving. Annual absorption increased by almost 3x in Q1 2024 compared to the prior year period, limiting the accumulation of supply coming to the market. In fact, the supply overhang is in a better position as of Q1 2024 versus Q1 2023 due to market-level absorption being 25% higher and Elme submarket-level absorption being 60% higher than pre-pandemic period. Furthermore, over 50% of Elme's Atlanta homes are in submarkets that should reach peak annual supply by midyear and 80% should reach the peak by Q3 of 2024.
 While additional completions are scheduled in our operating markets this year, units under construction and new starts have declined significantly, pointing to better conditions in late 2024 and into 2025. Units under construction are down 20% in the Washington Metro since reaching their peak at nearly 20% in Atlanta. Annual unit starts are down even more significantly, declining by almost 50% in both Atlanta and the Washington Metro over the past year. Starts in Atlanta are back to their 10-year average, while in Washington Metro, starts are nearly 40% below the 10-year average.
 Overall, market-level data indicates that Washington Metro is very well positioned from a supply perspective. And while Atlanta remains out of supply-demand equilibrium, absorption remains strong, especially in Elme submarkets, and the supply overhang is improving. As we progress through 2024, we anticipate job growth and continued in-migration to drive strong performance in the Washington Metro and a gradual normalization of conditions in Atlanta.
 Turning to resident credit. Employment growth is strong, and the sectors that drive demand for our communities and our residents' financial status remains solid. The median rent-to-income ratio across our portfolio for new leases was 24%, reaffirming our belief that our rental rates remain affordable for our new residents.
 And with that, I'll turn it over to Tiffany to discuss our operating trends and growth initiatives. 
Tiffany Butcher: Thanks, Paul. Overall, the fundamental trends that we're seeing are in line with our expectations at the start of the spring leasing season. Traffic volumes and blended spreads improved in April, and the marketing initiatives that we have recently implemented, which include enhancements to our digital marketing platform and strategy, are delivering good results.
 Turning to our results for the first quarter. Lease rate growth improved on a sequential basis for both our Washington Metro and Atlanta portfolios. During the first quarter, we generated solid effective blended lease rate growth of 2.3% for our same-store portfolio comprised of renewal lease rate growth of 6.2% and an average new lease rate decline of 2.1%.
 Same-store resident retention was 65% during the quarter, reflecting continued strength. Retaining residents is delivering better economics than turning homes, and we continue to focus on maximizing rent growth by prioritizing renewals. Alongside our focus on retention, we continue to achieve strong renewal rate growth. For May and June lease expirations, we're signing renewals at an average rate of 4.5%.
 Moving on to occupancy. Average same-store occupancy declined slightly to 94.4% during the quarter, driven by the impact of new supply and the timing of evictions in our Atlanta portfolio, offset in part by strong occupancy levels in our Washington Metro portfolio. Occupancy trended up towards the end of the quarter to 95.1%, which represents a 70 basis point improvement compared to the average daily level during the quarter.
 We're very pleased with the demand patterns that we're seeing across our Washington Metro portfolio, and average occupancy for our Washington Metro communities increased 30 basis points year-over-year to 96%. We continue to expect strong and stable occupancy in the Washington Metro portfolio over the course of the year.
 In Atlanta, while elevated supply and evictions drove a slight sequential decline in occupancy, we expect occupancy to gradually improve as the year progresses. As Paul mentioned, 80% of our Atlanta submarkets should reach peak supply by the third quarter, and strong absorption is mitigating the supply overhang.
 While we continue to work through the eviction backlogs formed when the government rent assistance programs ended last summer, our credit metrics are improving. Following enhancements to our credit screening process and the implementation of new technology, including ID Verify, and other training and process changes, the number of new delinquencies is declining on a month-to-month basis. Additionally, we are pleased to see local counties begin to take steps to address the backlog within the court system as evidenced by a recent ruling in Fulton County, which expedites the time frame between filing and obtaining a writ of possession. Looking forward, we believe it's a combination of higher credit standards, elevated fraud protection and normalizing eviction delays should drive improving occupancy and lower bad debt across our Atlanta portfolio.
 Turning to renovation. Our renovation returns are outperforming our expectations, while attracting higher income residents looking for value relative to Class A. During the first quarter, we generated a strong average ROI of approximately 17% on 120 home renovations. We continue to expect to complete over 400 full renovations and over 100 home upgrades this year. Looking forward, renovations continue to be a key growth driver for Elme. Our identified pipeline of nearly 3,300 homes represents over 35% of our portfolio, which is more than enough runway to deliver renovation-led value creation for the foreseeable future.
 Moving on to our operational upside. Our initiatives are progressing at a healthy pace and contributing to our top line through additional fee income and our bottom line through operating expense control and efficiencies. We continue to expect to generate between $1.7 million and $1.9 million of additional NOI and FFO from operational initiatives in 2024 on top of the $0.9 million of upside that we delivered last year. Combined, this represents approximately 60% of the $4.25 million to $4.75 million total from 2023 to 2025.
 Furthermore, we're rolling out managed WiFi across our portfolio, starting with 6 communities, which are scheduled for installation during the fourth quarter. Our managed WiFi program should generate solid returns and additional upside beyond the targeted $4.25 million to $4.75 million FFO upside in 2025 and beyond.
 Before I turn the call over to Steve, I want to extend my appreciation to the Elme team for the dedication and commitment that they have shown to elevating the living experience for our renters. Our teams are embracing the changes that we're implementing, and we look forward to continuing to drive better profitability and customer service as we progress on our platform initiatives.
 And with that, I'll turn it over to Steve to cover our results, 2024 outlook and balance sheet. 
Steven Freishtat: Thanks, Tiffany. We continue to expect same-store multifamily NOI growth to range from 0.25% to 2% in 2024. As we previously communicated, we expect NOI growth to be weighted to the back half of the year, driven by improving bad debt trends in our Atlanta portfolio and rent growth in our Washington Metro portfolio.
 While interest rate expectations have shifted, we continue to expect interest expense for the year to range from $37.25 million to $38.25 million. Our outlook now predicts fewer rate cuts in 2024. Although this puts some upward pressure on interest expense, it is being partially offset by our continued focus on managing our cash and debt balance. We feel the current interest expense guidance range is still appropriate.
 Turning to our balance sheet. Annualized adjusted net debt to EBITDA was 5.7x at quarter end, in line with our targeted range, and we continue to expect our leverage ratio to finish this year in the mid-5x range. Our liquidity position remains strong with about $540 million or approximately 80% of the total capacity available on our line of credit at quarter end with no secured debt and no debt maturities until 2025. With options to extend our 2025 term loan maturity another 2 years, our balance sheet remains in very good shape.
 To wrap it up, we are largely where we expected to be at this point in the year. Our mid-market focus remains well positioned, and we are pleased to see positive momentum building in April. The technology and process improvements we have implemented are driving higher fee income, expense compression and lower delinquencies, and our renovations are yielding very strong returns. As we head into peak leasing season, we are focused on maximizing revenue and delivering on the operational upside that is embedded in our platform.
 And with that, I would like to open it up for questions. 
Operator: [Operator Instructions] The first question today is coming from Anthony Paolone from J.P. Morgan. 
Anthony Paolone: I was wondering if we could talk about just the Atlanta market a bit more. Can you give us a sense as to like when we look at these occupancy numbers for the portfolio, how much of that is now just cash paying versus a piece of it still being bad debt? I'm just trying to think through over the course of this year kind of where you think you'll land there in terms of real cash paying occupancy and kind of cleaning out some of these delinquencies. 
Tiffany Butcher: Great question, Tony. Happy to walk through that. I would say, as I mentioned in my prepared remarks, we have seen a month-over-month improvement in our delinquencies and in our bad debt as we've moved through the first quarter of this year. If you look back to our bad debt at the end of the fourth quarter, the improvement that we saw to the first quarter was about 2.5%. So our bad debt is currently in the Atlanta portfolio at about 7.5%. But we are seeing that come down month-over-month, and we expect that by the end of the fourth quarter, will be between 3% to 4% bad debt in the Atlanta portfolio. So if you think about that in terms of an average for the year, we're probably in the 5% to 6% range.
 But we are seeing month-over-month improvements in delinquencies, which is very encouraging. And that's really coming from a lot of the initiatives that I talked about in the fact that we have been very clear in ending our policy of partial payments, which is helping to speed the eviction process. We've also made a lot of changes to our credit screening and approval process, which has really helped us to bring down the impact of any new delinquencies. So as we work through the backlogs in the court system, we're going to continue to see that month-over-month improvement in the bad debt and delinquencies. 
Anthony Paolone: Okay. Got it. And then I think you mentioned 4.5% renewal rates for the stuff that's being signed for June and July, if I caught that right. And I was wondering if you can give us a sense as to where you think like new leases may trend over the course of the year. And just an update on where you think blended spreads are for the portfolio over the course of the full year, like what's in the guide? 
Tiffany Butcher: Yes, sure. Absolutely. I'm happy to talk through that. So in terms of where we're signing May and June renewals, they're at around the 4.5% that I mentioned in my prepared remarks. As we think about that trending through the year, we do expect that renewals will moderate as we move through the back half of the year. But likely, as we think about the year overall, renewals will be in that 3.5% to 4.5% range. And then as you think about blended spreads, we were -- we ended the quarter at a blend of 2.3%. We expect Q2 to trend up from there. And then we expect similar improvement in Q3 and Q4. So for the year, we are projecting kind of 1.5% to 2.5% blended spreads. 
Anthony Paolone: Okay. And if I can sneak one in for Paul, maybe. Just curious if any thoughts on where you see cap rates for Class B type assets right now in the market. 
Paul T. McDermott: Sure, Tony. Let me step back and let's talk a little bit about kind of the landscape, what we're seeing out there. I would say that if you recall my remarks from even our 4Q, we talked about what the buyer composition look like. We've definitely seen a kind of a fundamental shift. If I was looking at 2023, I would say it was probably 80% private equity and 20% institutional. That has -- that trend has reversed. And we're definitely seeing institutional capital move back in where it's 80% institutional, 20% private equity.
 The cap rates we're seeing right now I think remain healthy. For the product in the best markets, we're seeing anywhere from 4.5% to 4.75% to a 5%. And for kind of that B product that we look at with value-add components, we're seeing that anywhere from 5.25% to 5.5%, maybe even upwards of 5.75%. The only place that we're really seeing what I would characterize as a price retrenchment is in some of the more distressed markets where as the 10-year widens, we're seeing a little bit more volatility on pricing and retrading.
 I think the thing that's significant to note is the institutional buyers that are back, they recognize that the supply issues in some of the markets around the country are really short term in nature. And they are underwriting a recovery in 2026 and 2027, even into 2028. They're really looking at basis plays similar to what we did at Druid Hills, and they're looking at discount to replacement costs in the 20% to 30% range. I still feel like, Tony, that we're suffering from a lack of inventory compared to kind of what we are used to seeing. I think a lot of the sellers are event-driven in nature, either fund life issues, equity recaps, debt maturities. And we've even noticed just in our dialogue with the agencies that those extension options are getting harder and harder to exercise. They're just being more pragmatic about the underwriting. Both the agencies that we talked with, they have heavy pipelines. I think they're trying to accommodate business by offering prepayment options, rate buydowns, et cetera. But the best deals are still mission-driven and have an affordability component. I just think that people -- the higher for longer has set the inventory pipeline back a little bit, but we're still continuing to look at products. But I wish I had a broader data set to offer you on the cap rates, but I think the ones that I quoted are what we're seeing right now. 
Operator: The next question will be from Jamie Feldman from Wells Fargo. 
James Feldman: I just want to focus on the balance sheet and your interest expense outlook. I think in the past, you guys had assumed some interest rate cuts in your guidance. What are you guys thinking now in terms of your interest rate outlook? And then are you assuming any ramp-up in capitalized interest with any of the investment you're doing in Atlanta? Or is it a pretty clean number through the rest of the year to get to your interest expense outlook? 
Steven Freishtat: Yes, Jamie. So when we chatted in the Q4 call, we talked about 3 interest rate cuts in the latter part of the year. Obviously, there's been different chatter from the Fed. And now we've got one rate cut in the back half of the year as our base case. And as I talked about on the call, we still think that our guidance is appropriate. Because it's in the latter half of the year, it's not really having an outsized impact as if we had assumed it earlier. And then we're, of course, trying to manage our cash and debt balance. As far as capitalized interest, there's really no projects that I'm aware of, that we're aware of that we're working on, that we're going to be working on that would have any sort of a material impact on capitalized interest. So it should be a pretty clean year from an interest expense perspective. 
James Feldman: Okay. All right. That's helpful. And then I guess just thinking about liquidity. Any -- I know you talked about the apartment transaction market, but any latest thoughts on Watergate and appetite from investors to potentially buy it, or how you're thinking about getting that done and timing? 
Paul T. McDermott: Yes, Jamie. It's Paul. Just to start out with the Watergate, we're actually in pretty good, positive discussions with our current rent roll on extensions trying to create more wall there. We did have our first transaction, what I would say of note, with Market Square being sold in the first quarter this year. We're definitely seeing, I would say, probably more foreign capital than domestic coming into D.C. right now, looking for some of these iconic assets that are clearly on sale. I think the challenge remains really the lending community, trying to embrace office as a vehicle or an asset class right now. But I think with our extensions, and we've definitely seen a pickup in interest, our goal to monetize this asset in the next 12 to 15 months has not changed, and we feel like we'll be able to accommodate that time frame. 
James Feldman: Okay. And then so what would be an appropriate -- or just in terms of cap rate or value, like what do you think is even -- what's the range to even think about? 
Paul T. McDermott: Well, I'm going to go off of our fourth quarter markdown where we took a write-down on the asset. And that will obviously be the number that we're targeting for -- shooting for in terms of where it goes. I think a lot of that is going to be predicated right now. If your crystal ball is better than ours on forecasting where the 10-year is going, that's going to have obviously a lot to do with it. But we hope to get as close to that range as possible, Jamie. 
James Feldman: Okay. Great. And then I guess, just to get a little bit more granular on some of the rent numbers. Well, I guess just to start, can you talk about your absolute level of bad debt in Atlanta today as a percentage of rental revenue or whatever your preferred metric might be? 
Tiffany Butcher: Yes. Sure, Jamie. As I was mentioning in the answer to the last question, if you look at our first quarter, our bad debt was 7.5% in Atlanta. That has come down. So we are trending closer to the, say, 6.5% range as we're heading into the second quarter. And as I mentioned, that is continuing to kind of come down on a month-over-month basis. So we're projecting that as we head through the end of the year, we'll be in the 3% to 4% range of bad debt as a percentage of revenue in the fourth quarter, which if you think about it as an average for the year, it's probably going to be in the 5% to 6% range. 
James Feldman: Okay. And then also just to get more granular, so thinking about -- I know you provided the renewal and new lease and blends for the year. How would you break that out between Atlanta and D.C. for each of those metrics? And same thing with like the April numbers. 
Tiffany Butcher: Yes, sure. I'm happy to give you that. Let's sort of start with the year as a whole, and then I can go back and talk about the second quarter. If you think about the year as a whole, we are assuming that the portfolio overall blends are in that 1.5% to 2.5% range. But if you break that out between DMV and Atlanta, in the DMV, we're expecting 2.5% to 3.5% blend, which is made up of, say, 1% to 2% new and 4% to 5% renewal. And if you look at Atlanta, we're expecting blends to be in the negative 2% to negative 4%, which is high single -- negative single digits, say, 7% to 9% negative new lease rate growth in renewals in a positive 1.5% to 3.5% range. So that's where we're expecting kind of the full year to shape up.
 If you look into where we're trending for Q2, we're expecting kind of blends into, say, 2% to 3% range for the portfolio as a whole. And if you break that out between DMV and Atlanta, we're expecting blends in the DMV to be in the 3.5% to 4.5% range, which is made up of 2% to 4% new and 4% to 6% renewal growth. And if you look at Atlanta, we're trending into the sort of negative 3% to negative 5% negative blends, which is made up of a very similar, a new high negative single digit new lease rate growth of negative 7% to negative 9% of a positive renewal growth of 1.5% to 3.5%. I would say that April is trending slightly ahead of those 2Q averages, but we feel very good about where we're trending for Q2. 
James Feldman: Okay. And then just the benchmark. So the bad debt number you're talking about for 2024, how does that compare to the bad debt number in 2023, just sort of like a year-over-year comp? 
Tiffany Butcher: Yes. No, great question. So if you look at the fourth quarter for 2023, we were at a negative 10% for the Atlanta. You're just talking the Atlanta portfolio, correct? 
James Feldman: Correct. 
Tiffany Butcher: Yes. So in the fourth quarter, we were at negative 10% for the Atlanta portfolio, which is obviously then showing the 2.5% improvement to the first quarter that I mentioned. If you look at full year 2023, we were very close to the Q1 number of 7.5%. 
James Feldman: For the full year. 
Tiffany Butcher: Yes. 
Operator: [Operator Instructions] And there were no other questions at this time. I would now like to hand the call back to Paul McDermott for closing remarks. 
Paul T. McDermott: Thank you. Again, we would like to thank everyone for your time and interest today, and we look forward to speaking with many of you over the next few weeks. Thank you. 
Operator: Thank you. This does conclude today's conference. You may disconnect your lines at this time. Thank you for your participation.